Operator: Good morning, ladies and gentlemen. Welcome to the FS KKR Capital Corp's Fourth Quarter and Full Year 2024 Earnings Conference Call. Your lines will be in a listen-only mode during the remarks by FS KKR Capital Corp's management. At the conclusion of the company's remarks, we will begin the question and answer session, at which time I will give you the instructions on entering the queue. Please note that this conference is being recorded. At this time, Anna Kleinhenn, Head of Investor Relations, will proceed with the introductions. Ms. Kleinhenn, you may begin. 
Anna Kleinhenn: Thank you. Good morning, and welcome to FS KKR Capital Corp. fourth quarter and full year 2024 earnings conference call. Please note that FS KKR Capital Corp may be referred to as FSK, the fund, or the company throughout the call. Today's conference call is being recorded. An audio replay of the call will be available for thirty days. Replay information is included in a press release that FSK issued yesterday. In addition, FSK has posted on its website a presentation containing supplemental financial information with respect to its portfolio and financial performance for the quarter ended December 31, 2024. A link to today's webcast and the presentation is available on the Investor Relations section of the company's website under Events and Presentations. Please note that this call is the property of FSK. Any unauthorized rebroadcast of this call in any form is strictly prohibited. Today's conference call includes forward-looking statements and are subject to risks and uncertainties that could affect FSK, the economy generally. We ask that you refer to FSK's most recent filings with the SEC for important factors and risks that could cause actual results or outcomes to differ materially from these statements. FSK does not undertake to update its forward-looking statements unless required to do so by law. In addition, this call will include certain non-GAAP financial measures. For such measures, reconciliations to the most directly comparable GAAP measures can be found in FSK's fourth quarter earnings release, which was filed with the SEC on February 26, 2025. Non-GAAP information should be considered supplemental in nature and should not be considered in isolation or as a substitute for the related financial information prepared in accordance with GAAP. In addition, these non-GAAP financial measures may not be the same as similarly named measures reported by other companies. To obtain copies of the company's latest SEC filings, please visit FSK's website. Speaking on today's call will be Michael Forman, Chief Executive Officer and Chairman; Dan Pietrzak, Chief Investment Officer and Co-President; and Steven Lilly, Chief Financial Officer. Also joining us on the call today are our Co-Chief Operating Officers, Drew O'Toole and Ryan Wilson. I'll now turn the call over to Michael.
Michael Forman: Thank you, Anna, and good morning, everyone. Thank you all for joining us for FSK's fourth quarter and full year 2024 earnings conference call. My opening comments this morning will cover two specific topics: our accomplishments during 2024 and our goals for 2025. During 2024, we were highly focused on four specific objectives. First, our goal is to improve credit quality and overall portfolio stability. To that end, during the year, we reduced our non-accrual investments by 58% to 3.7% on a cost basis and 2.2% on a fair value basis. Second, our goal is to remain extremely disciplined from an origination standpoint, even if that discipline means passing on certain transactions. During 2024, our investment team deployed $4.7 billion of capital into compelling new transactions. We are entering 2025 with significant available liquidity and view this as a competitive strength as we expect M&A activity to increase, perhaps materially, during 2025 and beyond. Third, our goal is to provide shareholders with an annual distribution of $2.90 per share. We achieved this goal as our base and supplemental distributions totaled $2.80 per share, and we paid $0.10 per share in special distributions during the first half of the year. Fourth, our goal is to maintain our strong balance sheet. During the second quarter, we issued $600 million of unsecured notes maturing in 2029. And during the fourth quarter, we issued $700 million of unsecured notes maturing in 2030. For 2025, our goals are as follows. First, we expect our investment team will continue to utilize its deep relationships to originate attractive, well-structured investments, which will be accretive to the quality of our investment portfolio. We recognize that we are starting from a position of strength given our relatively low leverage as of year-end. Second, based upon our current view of interest rates for the year, we expect to provide shareholders with $2.80 of total distributions through a combination of our quarterly base distribution of $0.64 per share and our quarterly supplemental distribution, which is equated to $0.06 per share for the last several quarters. And while we recognize that the recent decline in interest rates will reduce our net investment income, we believe our healthy balance of spillover income will enable us to continue rewarding shareholders by returning to them the additional earnings we generated during the recent higher interest rate period. Third, we expect to continue proactively laddering the right side of our balance sheet to maintain and, over time, enhance our investment-grade ratings. Turning to our fourth quarter results, FSK generated net investment income totaling $0.61 per share and adjusted net investment income totaling $0.66 per share, as compared to our public guidance of approximately $0.63 per share and $0.68 per share, respectively. The difference in our reported financial results as compared to our guidance relates to a few new investment opportunities which closed after year-end. In keeping with my earlier comments, our board has declared a first-quarter distribution of $0.70 per share, consisting of our base distribution of $0.64 per share and a supplemental distribution of $0.06 per share. And with that, I'll turn the call over to Dan.
Dan Pietrzak: Thanks, Michael. As Michael indicated, 2024 was a strong year of execution for our credit platform and for FSK. I'm proud of the performance we delivered, which is a testament to the hard work, dedication, and strategic focus of our entire team. Since the establishment of the FS KKR Advisor almost seven years ago, we've originated over $27 billion of new investments, which have generated an unlevered IRR of 9.6% since inception. Additionally, our strong 2024 performance enabled us to deliver shareholders a 12.1% yield on our average net asset value, and shareholders were further rewarded with a total return of 23%. Turning to the state of the economy and the lending environment, the current macroeconomic environment for many is a balancing act between a desire for growth, lingering inflationary pressures, and recent and expected interest rate adjustments. The current administration's issuance of a significant number of executive orders and swift moves across multiple geopolitical and international economic fronts, including the ongoing threats of significant tariffs with large trading partners, have somewhat tempered enthusiasm for a quick start to the year from an M&A standpoint. Instead, companies are taking steps to quantify what effects these potential policies may have on their businesses. As a result, while our expectations still call for a robust increase in M&A activity over the next few years, we caution investors that a significant increase in M&A activity may take longer to materialize than certain industry observers are forecasting. That being said, I would note that our early-stage pipeline has been building meaningfully, supporting our view of a continued increase in deal activity during 2025 and beyond. Against this backdrop, we continue to see strong tailwinds in the direct lending market. The current level of interest rates has created a very balanced scenario where interest burdens for portfolio companies have been reduced from the highs of 2023, while simultaneously, the current rate environment is still producing attractive levels of income-driven total return for investors. Credit defaults have remained largely contained across the industry, and borrowers continue to generate revenue and earnings growth. All of this points to direct lending market fundamentals remaining strong, and we believe the scales will continue moving in the favor of private credit providers. Turning to our investment activity during the fourth quarter, we originated $891 million of new investments, compared to $1.46 billion of exits. There were no sales from FSK to our joint venture this quarter. We continue to benefit from incumbency across our portfolio, as the majority of our new investments were focused on add-on financings to existing portfolio companies and long-term KKR relationships. New originations consisted of approximately 63% in first lien loans, 36% in asset-based finance investments, and 1% in equity or other investments. Our new direct lending investments have a weighted average EBITDA of approximately $206 million, 5.4 turns of leverage through our security, and a weighted average coupon of approximately SOFR plus 516 basis points. We continue to focus on the upper end of the middle market as the weighted average EBITDA of our portfolio companies was $239 million as of December 31, 2024, and our portfolio companies reported a weighted average year-over-year EBITDA growth rate of approximately 16%. Across companies in which we have invested since April of 2018, interest coverage levels have rebounded to 1.7 times, compared to 1.6 times last quarter and 1.5 times during the fourth quarter of 2023. As of the end of the fourth quarter, non-accruals represented 3.7% of our portfolio on a cost basis and 2.2% of our portfolio on a fair value basis. This compares to 3.8% of our portfolio on a cost basis and 1.7% of our portfolio on a fair value basis as of September 30, 2024. We also believe it's helpful to provide the market with information based on the FSK assets originated by KKR Credit. Non-accruals relating to the 89% of our total portfolio, which has been originated by KKR Credit and the FS KKR Advisor, were 2% on a cost basis and 80 basis points on a fair value basis as of the end of the fourth quarter. This compares to 2.2% on a cost basis and 50 basis points on a fair value basis as of the end of the third quarter. During the fourth quarter, two investments were added to non-accrual status, and one investment was removed. Our first lien senior secured position in Alacrity Solutions Group was added to non-accrual, contributing $22 million of cost and $16 million of fair value. In addition, our preferred equity investment in Cubicorp was added to non-accrual, contributing $56 million of cost and $42 million of fair value. Also during the quarter, certain parts of our debt position in Miami Beach Medical Group were written off in conjunction with the company's Chapter 11 process. We expect to receive certain additional proceeds in relation to our remaining debt exposure as the investment is winding down post the sale of the company. In terms of other portfolio updates, Worldwide, the pet product provider, which we discussed on our last earnings call, was restructured during the fourth quarter. The sponsor contributed approximately $42 million of additional capital into the business, with $30 million being used to repay the term loan at par. As a result of the restructuring, FSK received $19 million of first lien senior secured take-back debt, committed $1.7 million to a new DDTL, and received equity in the business. Across FSK and other funds, KKR now has a 35% equity ownership and three board seats. Lastly, we are pleased to note that Maverick Natural Resources, a legacy position which has been in the portfolio since 2014, has announced a sale to Diversified Energy. As a result, FSK's $37 million investment will be monetized. We expect the transaction will close in the coming quarters, subject to the customary closing conditions. And with that, I'll turn the call over to Steve.
Steven Lilly: Thanks, Dan. As of December 31, 2024, our investment portfolio had a fair value of $13.5 billion consisting of 214 portfolio companies. At the end of the fourth quarter, our ten largest portfolio companies represented approximately 21% of the fair value of our investment portfolio compared to 20% as of the end of the third quarter. We continue to focus on senior secured investments as our portfolio consisted of approximately 58% first lien loans and 64% senior secured debt as of December 31. In addition, our joint venture represented approximately 10% of the fair value of our portfolio. As a result, when investors consider our entire portfolio, looking through to the investments in our joint venture, first lien loans totaled approximately 67% of our total portfolio and senior secured investments total approximately 73% of our portfolio as of December 31. The weighted average yield on accruing debt investments was 11% as of December 31, 2024, a decrease of 50 basis points compared to 11.5% as of September 30. The decrease primarily is attributable to the decline in base rates and incremental spread compression. As a reminder, the calculation of weighted average yield is adjusted to exclude the accretion associated with the merger of FSKR. From an operational perspective, our total investment income decreased by $34 million quarter over quarter to $407 million, primarily due to the decline in base rates and the delayed closing of certain new investments until the first quarter of this year. The delay in investment closings resulted in lower fee income, quarter over quarter, and also lower leverage as of quarter-end. The primary components of our total investment income during the quarter were as follows: Total interest income was $324 million, a decrease of $32 million quarter over quarter. Dividend and fee income totaled $83 million, a decrease of $2 million quarter over quarter. Our total dividend and fee income during the quarter is summarized as follows: $53 million of recurring dividend income from our joint venture, other dividends from various portfolio companies totaling approximately $23 million during the quarter, and fee income totaling approximately $7 million during the quarter. Our interest expense totaled $116 million, a decrease of $2 million quarter over quarter, and our weighted average cost of debt was 5.4% as of December 31. Management fees totaled $53 million, a decrease of $1 million quarter over quarter, and incentive fees totaled $35 million, a decrease of $9 million quarter over quarter. Other expenses totaled $9 million during the fourth quarter, a decrease of $1 million. The detailed bridge in our net asset value per share on a quarter-over-quarter basis is as follows: Our ending third quarter 2024 net asset value per share of $23.82 was increased by GAAP net investment income of $0.61 per share and was decreased by $0.09 per share due to a decrease in the overall value of our investment portfolio. Our net asset value per share was reduced by our $0.70 per share total quarterly distribution paid during the quarter. The sum of these activities results in our December 31, 2024, net asset value per share of $23.64. From a forward-looking guidance perspective, we expect first quarter 2025 GAAP net investment income to approximate $0.66 per share, and we expect our adjusted net investment income to approximate $0.64 per share. Detailed first quarter guidance is as follows: Our recurring interest income on a GAAP basis is expected to approximate $310 million. We expect recurring dividend income associated with our joint venture to approximate $46 million. We expect other fee and dividend income to approximate $41 million during the first quarter. From an expense standpoint, we expect our management fees to approximate $53 million. We expect incentive fees to approximate $38 million. We expect our interest expense to approximate $112 million, and we expect other G&A expenses to approximate $9 million. And as Michael indicated during his remarks, we currently expect our distributions during the year will total at least $2.80, comprised of $2.56 per share of base distributions and $0.24 per share of supplemental distributions. Turning to our capital structure, during the fourth quarter, we issued $700 million of 6.125% unsecured notes due 2030, which subsequently were swapped to floating rate via interest rate swap agreements at an average of SOFR plus 2.127%. Proceeds were used to repay outstanding debt on our revolver. We continue to proactively manage our liability structure and upcoming maturities, and we expect we will access the unsecured market on an opportunistic basis during 2025. Our gross to net debt to equity levels were 112% and 104%, respectively, at December 31, 2024, compared to 121% and 109% at September 30, 2024. At December 31, our available liquidity was $4.8 billion, and approximately 75% of our drawn balance sheet and 47% of our committed balance sheet was comprised of unsecured debt. And with that, I'll turn the call back to Michael for a few closing remarks before we open the call for questions.
Michael Forman: Thanks, Steven. As we move into 2025, we remain highly focused on our strategy and the opportunities ahead of us. Our portfolio continues to demonstrate strong credit performance, and our balance sheet provides us with ample liquidity to take advantage of quality transactions during 2025 and beyond. We thank you for your continued support, and we look forward to updating you on our progress toward our goals during the year. With that, operator, we'd like to open the line for questions.
Operator: Thank you. At this time, we will conduct the question and answer session. As a reminder, to ask a question, you will need to press star one one on your telephone and wait for your name to be announced. Our first question comes from Kenneth Lee of RBC Capital Markets. Your line is now open.
Kenneth Lee: Hey, thanks for taking my question. Good morning. Just one on the dividends outlook there. I guess, wonder if you could just further flesh out your confidence in terms of the dividend outlook. It sounds as if spillover income is a big factor there. Just wondering if you could just provide some color in terms of what it implies about adjusted net investment income outlook as well. Thanks.
Dan Pietrzak: Yeah. Good morning, Ken. I'm happy to start, and Steven might want to add to it. I think, you know, a couple of different points there. You know, we had set up our dividend policy, you know, from the, you know, last couple of years now with this kind of idea of the base and the supplemental. You know, the base being the $0.64, the supplemental being the $0.06. You know, I would note that the $0.64, I think, at current NAV is still roughly 11%, so still attractive. Yeah. We did have several quarters of over-earning over the last handful of years considering the rate as well as the spread environment. We think it was prudent to kind of reward the shareholders, you know, with that level of additional earnings. That's been the conversation with our board as well. So I think we remain focused on that, you know, base and supplemental sort of components, but are providing the guidance of expecting, you know, $2.80 for the year.
Steven Lilly: Yeah. And, Ken, it's Steven, just to add on to what Dan was saying, you know, we have been, I call it successful, you know, in building the spillover balance we've talked to the market about. You know, as we sit today, that represents 2.7 quarters worth of total dividends. You know, in terms of the strategy this year, we would reduce that to somewhere around 2.3 quarters worth of total dividends, which, you know, on a long-term basis, and you've certainly covered the stock for a long time, you know, we've said we'd like to be plus or minus two quarters. So it brings us back to that level, that sort of long-term target level, you know, in that range. So, you know, it's nothing more than that. I think it's a good signal, obviously, you know, for shareholders as well to have some certainty of payments this year.
Kenneth Lee: Very helpful there. Alright. And just one follow-up, if I may. In your remarks, you mentioned seeing a decline in base rates as well as some spread compression. Wondering if I could just get your thoughts around how would you characterize the spread you're getting per unit of risk, like, for example, leverage, you know, what kind of trends are you seeing there? Thanks.
Dan Pietrzak: Yeah. I mean, I think, Ken, we've seen almost across all credit markets, you know, a decent amount of spread compression of the new deal flow, probably saw more of that spread compression, you know, the first half of, you know, last year sort of going into the third quarter. I think we've seen, you know, maybe some, you know, stability on the new deals, albeit maybe still test certain kind of new levels. I think you could argue the regular way, you know, direct lending deal these days is 475 or kind of 5%, you know, before fee income though. But you've seen the syndicated market, you know, tighten down pretty meaningfully as well. You know, I think we've also seen a certain amount of repricings in the book. You know, that said, I think the repricings are generally highly correlated to names that are performing well. And I think if, you know, we would also, though, on the other side of that, use those repricings to potentially exit certain positions if we didn't necessarily, you know, love the risk-reward. But, you know, so I think you can put in context that it's, you know, a bit of a, you know, more borrower-friendly market these days when it comes to spreads. Like, on the other side of that, you know, the total return of these deals that we're still seeing is, you know, roughly 10% considering, I think, the strength of the company, the size of the company. You know, it's still, you know, pretty attractive in our mind.
Kenneth Lee: Gotcha. Very helpful there. Thanks again. Thanks. Have a good day.
Operator: Thank you. Our next question comes from Casey Alexander of Compass Point Research and Trading. Your line is now open.
Casey Alexander: Thank you. Since the deals have already closed and because it might help for modeling purposes, is there any way to give any granularity or quantify, you know, how much in terms of new originations got rolled over from Q4 to Q1?
Dan Pietrzak: Good morning, Casey. You know, I think you're trying to think about the right number. We're talking a couple of, you know, handful of deals, you know, kind of two, that probably would have generated, you know, two odd cents, you know, three odd cents of sort of fee income.
Casey Alexander: Okay. Yeah. Those deals closed, just the timing difference.
Dan Pietrzak: Okay. And then, you know, you talked about how, you know, M&A may be delayed, but at the same time, you said that your pipeline is filling. So where are you getting the pipeline fill? Are private equity sponsors starting to, you know, bring forward some of the back books that they need to get rid of? Or are these companies that are just completely insulated from, you know, the bulk of government policies? Where are you seeing that pipeline fill if M&A, you know, pickup is being delayed?
Dan Pietrzak: Yeah. No. It's a fair question. And maybe we should have been a little bit crisper in the prepared remarks. But I think, you know, we were, I think we and probably the rest of the market have been kind of waiting for what I'll call that, you know, meaningful impact and, you know, M&A volume sort of across the market. I'm not sure it gets, you know, maybe all the way to 2021 levels, but I'm not sure it's that far off that, you know, in many ways, everything was lining up for that. Right? You've got private equity LPs wanting to get capital back. You've got a bunch of dry powder. It's been a slow couple of years. I think the capital markets and others were, you know, probably further, you know, pulled up on that trend as it relates to, you know, the new administration sort of coming on board. Yeah. So I think in our mind, with some of the points, whether it's, you know, tariffs or sort of otherwise, I think people are doing a little bit more maybe work at the portfolio company level. It's slowing down in our mind, you know, that larger wave that we're expecting. That said, maybe in a simpler way, I think we're kind of busier now than we were, you know, in different points of 2023 and 2024, but I think we're expecting to get busier as the quarters go forward.
Casey Alexander: Okay. Thank you for that. And one last one, on Maverick. Would you characterize that sale kind of at the mark above or below?
Dan Pietrzak: Fair question. You know, it would have, I would characterize it as, you know, below the mark. I mean, I think the mark that's in sort of Q4 is quite a fair mark. Actually, above the mark, I'm not above my map. Above the mark. Yeah. The sale price was kind of above the mark. I think, you know, as we got to go through the closing conditions, as there's certain ways which will think in all of our valuations, we would, you know, incorporate certain, you know, kind of, you know, points in there to not just bring it to straight kind of market value is sort of price side, but I think that's in line with how we would value something like that. But the sale was above the mark you would have seen.
Casey Alexander: Alright. Great. Thank you. Appreciate it.
Operator: Thank you. Our next question comes from Robert Dodd of Raymond James. Your line is now open.
Robert Dodd: Hi, guys. On the kind of types of the M&A build, right, I mean, a lot of the larger players in the market are just focused on sponsor finance, but you're not. So how would you characterize, you know, separately from the sponsor-backed outlook for 2025 and building pipeline, the asset-backed finance side, obviously, has been a lot of market talk about that as kind of an expert way, but, I mean, you've been in it for a while. But what's your outlook on that side of the book?
Dan Pietrzak: Yeah. I mean, I think you're right, Robert. We've got a big kind of business there. You know, we've got, you know, roughly fifty people focused on that. We've got, you know, north of five billion of total AUM. It's always been a part of what we're doing here at FSK. We've been, you know, active there. I think that's had a fair amount, that's had a certain amount of activity for kind of different reasons. Right? We've seen different things going on with banks. We've seen different asset portfolios come out of banks. We've seen a thematic, which I think is almost equity market driven. Where the equity market is rewarding companies for being balance sheet light. Think about, you know, our asset-backed businesses or others. You know, we're essentially in the asset, you know, storage business, so there's good partnerships that we can do with those corporates there. You know, a bunch of those corporates are probably names that we would historically, you know, get to do business with. You know, the size of that market is meaningful. I do think in a lot of ways that market, at least on the institutional side, you know, probably feels like the direct lending market did, you know, five or ten years ago in terms of people starting to get more interest. But it's a big market. I think we've got a bunch of unique or proprietary origination angles we're going to continue to try to exploit.
Robert Dodd: Got it. Thank you. And then just on, yeah, normal falls are down. I mean, are you seeing areas of weakness? Obviously, not broadly. Right? I mean, I think you said, you know, EBITDA growth across the portfolio is weighted average 16%. Clearly not weak. Right? But, you know, that's across the whole portfolio. I mean, are there any areas of either portfolio or the market where concerns are ramping up?
Dan Pietrzak: You know, it's the right question. You know, I think the issues that we probably have seen, you know, either across the portfolio or maybe, you know, a couple that we would have mentioned here have probably been more idiosyncratic to those specific issuers. You know, whether it was, you know, customer loss or otherwise. You know, I would say kind of more broadly, you know, we've been in an environment where interest coverage ratios, even though they're sort of rebounding, have been, you know, probably on the lower side for the last handful of years. I think that does expose companies when there is a bump in the road that it bubbles up or becomes an issue sort of faster. So, you know, there's probably, you know, a little bit more of that as kind of time goes on. But, again, it's been probably more idiosyncratic. You know, I do think, you know, there are things out there that are top of mind these days. Right? We touched on tariffs. We touched on the Department of Government Efficiency. You know, there are different, I think, scenarios or concerns around either continued wage inflation or the ability to get the right amount of employees. You know, that's kind of top of mind. So I think we're pretty constructive on the economy. We're pretty constructive on the big levers, you know, of the US economy, but I do think there's some, you know, either, you know, events or scenarios out there that have some downside to it. And we're, you know, using our portfolio monitoring unit. We're using the whole team to be pretty focused.
Robert Dodd: Got it. Thank you very much. Thank you.
Operator: Thank you. Our next question comes from Finian O'Shea of Wells Fargo Securities. Your line is now open.
Finian O'Shea: Hey, everyone. Good morning. Couple questions on the fees. Is the forty-one, I think you said, for the nonrecurring, that's an improvement. Can we think, should we think of that as more of a one-off strong quarter or the sort of rebound level? And then similar question for the CCAP dividend. That's a recurring one, but it understanding and practice, it moves around a little bit. So seeing what we should think of that, the forty-six million there as well. Thanks.
Dan Pietrzak: Yeah. Good morning, Fin. I mean, on the joint venture dividend, maybe first. I think you're right. I mean, it will move a bit. Obviously, there could be different events, you know, repayments or, you know, what kind of other fees are in within there. Obviously, we've got a great joint venture partner there as we think about how we, you know, kind of manage, you know, distributions there. But I think with inside that, you know, range of what you would have seen the last couple of quarters is probably fair. I would note we, I think we got some room to grow the joint venture. You know, I think that's kind of top of mind for us. You know, it almost in line with, you know, I like where we're at from a leverage perspective. Right? Or where we're at from a leverage perspective right now. Right, obviously, we're more on the lower side of our target. Think we'd be pretty comfortable at, you know, one one five versus kind of one zero four. But that's at least what I think about, you know, the joint venture. I think your kind of broader, you know, fee and dividend income. I think that will bounce around. Right. The, you know, the asset-backed space, well, you know, not all those deals are necessarily linear in terms of when cash flow is released. I think we probably continue to see, you know, lower, what I'll call, regular way fee income just because, you know, originations have been probably a bit more muted. And, you know, maybe even a little bit, you know, kind of make calls so the CallPro income is, you know, we were holding on to assets for a fairly, you know, lengthy amount of time and so did that call pro sort of rolling off. But I think that one will bounce around a bit, but I think the joint venture probably a little bit more consistent to your point.
Finian O'Shea: Okay. Thanks. So sort of tying into that and question on the dividend discussion. You covered pretty well in the remarks in the Q&A here. What's the, like, ongoing level, if any, of taxable income over NOI? I imagine ABF might generate some, non-accruals might generate some. And, you know, that looking at it from that way, if there's a significant amount, like, does this payout and say an assumed low to mid-sixties NOI this year, does that get you back down to the target two quarters or is there a good chance that this sort of same policy extends into 2026 when, you know, we revisit a year from now?
Dan Pietrzak: Yeah. Let me start and then Steven's gonna tell you. I think it's probably difficult to forecast that or think about what happens in 2026. Right? I think that'll be very dependent upon, you know, deal activity, what we're seeing kind of, you know, markets, etcetera. You know? But I think we wanted to make this the statement and provide the clarity as it relates to 2025. But Steve will add to the rest.
Steven Lilly: No. I think that's right. You know, and then as you remember, you know, when we entered and came into 2024, then our spillover on, again, a total quarter's worth of dividends basis was kind of, you know, 2.9 quarters close to 3. We paid the special last year in the first two quarters that, you know, helped us a little bit there. As mentioned earlier on one of the questions, we're 2.7 quarters now at the end of this year. All things being equal, we'd be down around 2.3 quarters worth of dividends, which is, you know, in our range, kind of, you know, the closer to the top end of our range of plus or minus two quarters worth of dividends. So, again, it, yeah, spillover will move a little bit too. It always does. Just because there's so many, you know, puts and takes there on a year-over-year basis. But, you know, we think it's, again, a very good strategy returning some of this capital to shareholders this year. And then as Dan says, you know, we'll sort of periscope next year and see where things are.
Finian O'Shea: Is there, like, you know, just going forward, say beyond this year, are you always gonna try to stick close to that two quarters? Like, it did feel like you let it fan up to the high end for some time, you know, as did many of your peers. But, you know, is that sort of, is this maybe sort of, like, a lesson learned? Like, we let it get too hot and we're gonna stick to this too going forward, or might there be times where, I don't know, you find it advantageous and run it back up?
Steven Lilly: Well, I think, yeah, the increase is really more rate-driven. We are in the environment, as Dan mentioned in his prepared remarks, you know, with higher rates. And, you know, so the, you know, there were materially higher earnings on a per-share basis from, as you would indicate, you know, we and also many of our peers. So I think that accounted for, you know, the increase in spillover over sort of our target, and different companies have different target levels, you know, so we would readily say that. You know, we're very comfortable in our plus or minus two quarters. I think that's a good healthy balance. Yeah. We weren't upset that it, you know, grew incrementally, so to speak, above that balance in the last several quarters because it was, again, a really nice rate environment. We just didn't want to take the total payout, you know, to an artificially high level just for a couple of quarters. You know, we wanted to save that because we had an expectation that rates at some point, you know, would come back down. So it's frankly worked and moved as we would be very comfortable with.
Finian O'Shea: Awesome. Thanks so much for the call.
Dan Pietrzak: Thank you.
Operator: Thank you. Our next question comes from Maxwell Fritscher of Truist Securities. Your line is now open.
Maxwell Fritscher: Hey. Good morning. I'm calling in for Mark Hughes. You've hit on the economic topics of the day around executive orders, tariffs, etcetera. I think more broadly. And sorry if I missed this, but as you look at your portfolio today, how do you think you're positioned relative to some of these dynamics?
Dan Pietrzak: Yeah. Good morning, Maxwell. Good question. You know, I would, you know, take a step back in some ways. I think we, you know, for multiple months now, you know, going back even, you know, kind of before the actual election, you know, as a firm, we're focused on, you know, different scenarios or kind of what the impacts of things could be. You know, we're using the whole resources of the firm as we kind of think through this. You know, we have gone through, you know, position by position both with our, you know, portfolio monitoring team, the deal teams, but actually going out to the portfolio companies themselves, you know, to think about where, you know, the tariff risk might be or, you know, where anything that might relate to government contracts could have an, you know, an issue. You know, it's not a large kind of percentage of the portfolio. I think that's the good news. I think the thing that we're keeping our eye on is it could be material though if to, you know, a certain individual name. But also, I would note, like, this whole thing is pretty dynamic. Right? You know, in the sense of, you know, how it'll really play out at the end. I think, you know, some of the conversations around tariffs have probably been almost a catalyst for other, you know, conversations with certain of these countries. So it's live. You know, we've got effectively a list of names that we're focused on because of it, and I suspect it'll continue to evolve.
Maxwell Fritscher: Yeah. That's helpful color. Thank you. And then just as M&A picks up, yeah, half of this year, I wanted to get your thoughts or your views on how you expect the mix of incumbent borrowers versus new borrowers to trend over the course of this year?
Dan Pietrzak: Yeah. You know, I think you're right in the sense of, you know, and we talked about this at length in the prepared remarks in the Q&A. You know, we are confident about that M&A level going up. I think that would almost by definition, you know, reduce that incumbency to the number. You know, I think the larger platforms, you know, do have an advantage with the size of their portfolios. I think that advantage is not even just loans that are on the books today. Right? But it's loans that you may have went to, you know, even sort of prior, but you got the history on the company. It's loans that we might know very well from our, you know, leverage credit business. You know, I think that incumbency point in my mind is not just helpful on an origination side. It's also helpful on a diligence side. Almost in its most simplistic format, it's easier to lend to a company that you've lent to before. But I think you should expect that number just, you know, by definition of increased market activity for, you know, M&A, probably trends down a bit on the incumbency side.
Maxwell Fritscher: Got it. Thank you. Thanks. Have a good day.
Operator: Thank you. Our next question comes from Melissa Wedel of JPMorgan. Your line is now open.
Melissa Wedel: Good morning. Thanks for taking my questions. First one is wanting to follow-up on the fee income line item for Q4. I take your point that a few deals slipped into, it sounds like, the first quarter. But even looking at the sort of average fee income over the first three quarters in the year, it was in the high teens. And for Q4, it looks like it was less than half that. Is there something beyond a few deals slipping into Q1 that would drive that fee income lower?
Dan Pietrzak: Yeah. And I'll say, and Steven can add to this. I mean, I think that, you know, line will have a certain amount of, you know, if you can use the word volatility to it. Right? It's obviously dependent on kind of new activity. You know, I think the deals in the asset-backed business are not all necessarily kind of linear when they can pay distributions on. Yeah. I would kind of continue to expect that. I do think the number was artificially low with respect to any historical type average. But, Steven, you might want to add.
Steven Lilly: Yeah. No. That's Melissa just adding to that a bit. I think the $7 million we had in the fourth quarter, as Dan mentioned in a question earlier, we had a couple of the deals that were delayed. Yeah. That $7 million had those deals closed, you know, probably would have been more in the, you know, $10 to $11 million range, I would imagine, you know, something along those lines. If you look at our long-term average, that it's sort of between $15 to $16 million on a quarterly basis. Obviously, it goes above and below that. That's just the average. And, you know, so I think Dan's comments about the mix of activity in the fourth quarter was more unique to it coupled with the couple of deals that were delayed.
Melissa Wedel: Okay. Thank you for that. And then sort of related to the slipping of deals into Q1. I mean, we're two-thirds of the way through the first quarter at this point. In terms of repayment activity and exits, is there anything you can share with us? Certainly, it was elevated in Q4. What can you share how first quarter is shaping up?
Dan Pietrzak: Yeah. I think you're correct on, you know, the, would probably think that everyone should expect a certain amount of additional repayments. Right? You have the, you know, you have the syndicated market open, we always expect these, you know, markets to, you know, act in some ways and sort of concert. I think, obviously, there'll be points in time when the private markets can step in. When the syndicated markets, you know, might not be open, but, you know, I think we're seeing some of that. You know, I think we are seeing, you know, certain instances of deals that are being, you know, repriced or sort of, you know, a new sort of, you know, refinancing being put in place where we're taking as an opportunity to get repaid and just kind of move on. You know, I think you should probably expect the balance of kind of new deals versus repayments to be better in Q1.
Melissa Wedel: Thank you for that. And I'll throw in one last one. Just given the tight spread environment to your point about the markets being up, the broadly syndicated market being open. How, you know, how urgent do you feel about the portfolio a little bit? Thank you.
Dan Pietrzak: Yeah. I think urgent is probably not the right word because that would probably imply, you know, just kind of racing to do deals. I do think this is an environment where discipline kind of matters. You know, I always do describe, you know, the direct lending market as there will be certain moments, you know, when it's lender-friendly, there's certain moments when it's borrower-friendly. You know, I think the theme though is always about downside protection. You're underwriting a deal with a view of, you know, not having a default, but if there is a default having a high recovery rate. So it is more borrower-friendly today. As I said, I think the total return sort of still remains attractive. We are at the lower end of our range, I think, unequivocally. I think that's a positive thing. I think it speaks to the strength of the liability structure we have, which in these vehicles, you know, is very important. You know, I think you should expect that, you know, we're going to trend back up to that midpoint of the one one five, you know, over the coming quarters. Yeah. With kind of that upper range of kind of, you know, one to one in the quarter is what we've always talked about for target leverage.
Melissa Wedel: That's very helpful. Thank you.
Dan Pietrzak: Thanks. You have a good day.
Operator: I'm showing no further questions at this time. I would now like to turn it back to Dan Pietrzak for closing remarks.
Dan Pietrzak: Well, thank you everyone for joining us today on the call. As always, we appreciate your time. If you do have any further questions, or things that we didn't address on the call, please don't hesitate to reach out. And if not, we'll speak to you again next quarter. Thank you.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.